Operator: Welcome to CommScope's 2024 Third Quarter Results Conference Call. [Operator Instructions]. I'd now like to turn the conference over to your first speaker today, Massimo DiSabato. Please go ahead.
Massimo DiSabato : Good morning and thank you for joining us today to discuss CommScope's 2024 Third Quarter Results. I'm Massimo DiSabato, Vice President of Investor Relations for CommScope, and with me on today's call are Chuck Treadway, President and CEO, and Kyle Lorentzen, Executive Vice President and Chief Financial Officer. You can find the slides that accompany this report on our Investor Relations website. Please note that some of our comments today will contain forward looking statements based on our current view of our business and actual future results may differ materially. Please see our recent SEC filings which identify the principal risks and uncertainties that could affect future performance Before I turn the call over to Chuck. I have a few housekeeping items to review. Today we will discuss certain adjusted or non-GAAP financial measures, which are described in more detail in this morning's earnings materials. Reconciliations of non-GAAP financial measures and other associated disclosures are contained in our earnings materials and posted on our website. All references during today's discussion will be to our adjusted results. All quarterly growth rates described during today's presentation are on a year over year basis, unless otherwise noted. I'll now turn the call over to our president and CEO, Chuck Treadway.
Chuck Treadway: Thank you, Massimo. Good morning, everyone. I'll begin on slide 2, in the third quarter, core CommScope delivered net sales of $1.082 billion a year over year, increase of 3% and adjusted EBITDA of $220 million a year over year, increase of 25% driven by strength in our CCS segment. I'm pleased with our third quarter performance as we sequentially improved revenue and adjusted EBITDA from the second quarter as a result of the initial recovery of our core next segment. Our newly defined core business, now consisting of CCS, ANS and core NICS, saw mixed results with continued strength in CCS and weakness in ANS and NICS. Visibility remains limited as upgrade timing and magnitude remains uncertain. As I have mentioned in past earnings calls, we continue to control what we can. Our core revenue was up 3% versus prior year, while core adjusted EBITDA grew at a healthy 25%. Adjusted EBITDA as a percentage of sales increased from 16.7% to 20.4% and grew sequentially from 19.1%. This improvement has been driven by our CommScope NEXT program, cost management and favorable mix. We have focused on very specific initiatives in all areas of our business to enhance profitability. Now we'd like to give you an update on each of our core businesses. In the third quarter, CCS revenue grew 17% while CCS adjusted EBITDA increased 115%, CCS adjusted EBITDA as a percentage of revenue was approximately 23.5% for the second straight quarter. We are continuing to see very strong demand from the hyperscale and cloud data center business as the industry's need for bandwidth and data center capacity is increasing. We continue to invest in capacity to meet that demand. During the third quarter, we approved an additional capacity expansion project that will support demand into 2025. The outlook is very strong, with our customers signaling robust growth in data centers over the next several years. These investments are highly accretive to EBITDA with short paybacks, in addition to capacity for our fiber products. We continue to implement our SYSTIMAX 2.0 initiative focused on copper technology leadership. During the quarter, we launched SYSTIMAX GigaShield X10 platform, which delivers leading category 6A performance for shielded applications. Turning our attention to the broadband side of CCS, where we are pleased to deliver year over year growth in the third quarter. We believe CommScope is well positioned for broadband growth with capacity investments we made in 2022. We also continue to invest in technology, as you have seen with our recent announcement of our Prodigy Universal Hardened Connector Solution. In the third quarter, we announced a licensing partnership with AFL allowing them to supply Prodigy Universal Connectivity Solutions. Since the beginning of last year, we have seen continued improvement in customer inventory levels. However, demand remains low relative to 2021 and 2022 Customers are continuing to assess their upgrade plans, including evaluating the impact of BEAD and other federal funding programs on their builds. We have reached another milestone in the BEAD efforts, as CommScope now has achieved manufacturer self-certification through the Department of Commerce for hundreds of BABA and BEAD ready products. We remain bullish on this program. To-date, the Department of Commerce has accepted plans from 55 of 56 eligible states and U.S. territories. For the states that have opened their application process, we are currently working with key customers as they prepare these applications for broadband infrastructure projects. Market expectations point to projects beginning late 2025 but it will be much more of a 2026 story. We have ample capacity and the complete set of products to meet the expected higher demands, supporting medium and long term growth. Turning to Core NICS, which excludes DAS, revenue was up 19% versus the second quarter. Core NICS adjusted EBITDA was up $31 million sequentially versus the second quarter. This was driven by higher revenue and improved margins for RUCKUS. We feel that the challenges in the first half with channel inventory are behind us as inventory levels have normalized. Looking forward, we expect typical seasonality, including some pull back in the fourth quarter, we believe the RUCKUS business is well positioned for growth in 2025. In addition to normalized inventory and subsequent demand, we have launched several RUCKUS initiatives, including our recently announced RUCKUS Edge platform, as well as the new RUCKUS Pro-AV solution. RUCKUS Edge extends the cloud based AI RUCKUS One platform to the edge of the network to enable rapid deployment and simplified management of these networks. In addition, we have continued to find traction on our market leading Wi-Fi 7 Solutions, and have commercially deployed our Wi-Fi 7 access points, which was most recently announced to be used in the circuit of America's Racetrack in Austin, Texas. We are continuing to see success on our specific vertical market strategy focusing on expansion into manufacturing, higher education and Pro-AV markets. We remain bullish on the Core NICS business, and are investing for our next phase of growth. Finishing our core business updates with ANS. We previously mentioned the first half of 2024 was historically weak due to our customers being faced with larger than expected inventory and navigating the choices for next generation HFC architecture. However, ANS is best positioned with decades of knowledge of our customers ecosystems and our breadth of new products to take advantage of the latest DOCSIS upgrade cycle. Our suite of products now includes virtual CMTS, nodes, amplifiers, RPD and RMD modules and remote OLTs node PON. In September, at the SCTE Tech Expo, we showcased our entire suite of products and solutions that help customers upgrade their networks in the most agile ways possible. We demonstrated DOCSIS 3.1E that allows customers with an existing install base of Casa or ARIS E6000 CMTS to deliver multi gigabit speeds with a simple software upgrade and a new CPE. We also highlighted our newest development, a unified DOCSIS 4.0 solution that can enable FDX or ESD from the same hardware. These new solutions are welcomed by our customers at the show because it provided maximum flexibility for their upgrade cycle. In addition, during the show, we jointly announced with Comcast that for the first time, our FDX amplifier is live in their network serving customers. This is a significant milestone, as it marks a multi-year joint effort to provide these groundbreaking network upgrades, delivering multi-gig, symmetrical services across their customer base. This milestone is just the beginning of a multi-year upgrade cycle that will continue to evolve the next generations of DOCSIS, 4.0 networks. During the quarter, we had meaningful shipments of FDX nodes to Comcast. We expect a significant increase in FDX node shipments in the fourth quarter, and expect this to continue into 2025. Small shipments of FDX amplifiers will begin in the fourth quarter, with substantial increases in 2025. Also during the quarter, we want a virtual CCAP deployment. This is positive momentum for our virtual CCAP program, including utilizing the recently purchased Casa technology. As you can see, the momentum is building with the next phase of upgrades. And the real question with our ANS business is the timing and magnitude of the upcoming upgrade cycle for our customers. Although customers have indicated a fairly aggressive upgrade cycle over the next several years, many of these upgrades have been delayed. The timing and magnitude of these upgrade cycles will be an important driver of revenue and profitability for ANS. Moving back to core CommScope, we are continuing to navigate our businesses through varying market conditions, some of our businesses are benefiting quicker than others from a recovery, but we are still bullish medium and long term on all of our segments, albeit timing and magnitude of demand improvement remains uncertain For our core businesses, we believe we are well positioned to take advantage of a demand rebound with ample capacity and the right product offerings. We will continue to control what we can including supporting our customers as they navigate through their requirements. Based on actions that we have taken, including CommScope next initiatives, we expect strong profitability improvement as revenue recovers. This is evident by a strong adjusted EBITDA as a percentage of revenue in the third quarter of 20.4%. Before handing it over to Kyle. I will give you an update on our recently announced divestiture of our OWN and DAS businesses to Amphenol. Based on current progress we now expect the sale to close in the first quarter of 2025, we believe this transaction will provide us flexibility as we evaluate our capital structure. I want to thank our OWN and DAS teams for continuing to deliver solutions to our customers as we continue through this process. And with that, I'd like to turn things over to Kyle to talk more about our third quarter results.
Kyle Lorentzen : Thank you, Chuck and good morning everyone. I'll start with an overview of our third quarter 2024 results on slide 3. For the third quarter, CommScope reported net sales from continuing operations of $1.082 billion an increase of 3% from the prior year, driven by an increase in CCS. Adjusted EBITDA from continuing operations of $204 million increased by 30%. Adjusted EPS was negative $0.05 per share, but increased 58%. We experienced improved sequential revenue and adjusted EBITDA driven by increasing demand in CCS and RUCKUS For core CommScope, which excludes the OWN and DAS businesses and general corporate costs that were previously allocated to the OWN and DAS and home businesses. We reported core adjusted EBITDA of $220 million for the third quarter of 2024 which increased 25% from prior year. This was a 10% improvement sequentially versus the second quarter. Our adjusted EBITDA as a percentage of revenues of 20.4% increased by 370 basis points year over year, as we continue to manage what we can control, including costs. For CommScope, including OWN and DAS, we reported net sales of $1.414 billion which increased 5% from prior year, with adjusted EBITDA of $308 million for the third quarter of 2024 which increased 27% from prior year. Core CommScope backlog ended the quarter at $882 million down versus the end of the second quarter. As mentioned previously, in all of our businesses, we are back to normalized backlog levels with short lead times. Turning now to our third quarter highlights on slide 4, starting with CCS, net sales of $737 million increased 17% from the prior year. CCS adjusted EBITDA of $174 million increased to 115% from the prior year. CCS adjusted EBITDA as a percentage of revenue for the quarter remain strong at 23.6% driven by favorable mix, cost savings and cost leverage. Although we expect CCS adjusted EBITDA as a percentage of revenue to remain strong, we would not expect it to remain at this level for the fourth quarter. The CCS revenue increase is primarily being driven by the enterprise business, particularly hyperscale and cloud data centers. On a sequential basis, CCS revenue grew 1%. Looking towards the fourth quarter we expect revenue to slightly improve sequentially, but EBITDA to remain fairly flat. Core NICS net sales of $157 million decreased 22% versus the third quarter of 2023 driven by the over buying in 2023. Core NICS adjusted EBITDA of $28 million decreased 29% from the prior year, primarily driven by the decline in RUCKUS revenue. As expected, the overhang from Channel inventory lasted through the first half of 2024 and started to improve in the third quarter. On a sequential basis, revenue increased 19% and EBITDA increased $31 million. We continue to drive our vertical market strategies and RUCKUS initiatives, including RUCKUS edge and Wi-Fi 7 initiatives. In addition, we continue to shift more of our business to subscription. With the new products and vertical market focus, we are well positioned to take market share in the medium and long term. Fourth quarter, Core NICS adjusted EBITDA is expected to decline compared to third quarter results due to seasonality. ANS, net sales of $188 million decreased 15% from the prior year due to customer inventory adjustment and upgrade delays. ANS, adjusted EBITDA of $19 million was down $37 million or 67% from the prior year, driven by lower revenue and unfavorable product mix. The ANS market continues to be challenging as customers deal with excess inventory and delayed upgrade cycles. We expect to see an increase in both revenue and EBITDA in the fourth quarter versus the third quarter. As Chuck mentioned, launching of FDX products at Comcast will have a positive impact on the business over the next several quarters. The business remains well positioned to take advantage of upgrade cycles, as we have decades of experience with customer ecosystems, the largest installed base and the broadest suite of products. Performance will be driven by the speed and magnitude of the upcoming upgrade cycle that is in early stages. Despite ANS market uncertainty, we expect to see strong improvement in 2025 ANS performance. Finally, an update on our second quarter announcement of the divestiture of our OWN and DAS businesses to Amphenol. We are expecting the transaction to close in the first quarter of 2025. Net sales of these two businesses were $332 million in the third quarter, and increased 12% from the prior year. We expect fourth quarter OWN and DAS revenue and adjusted EBITDA to decrease compared to third quarter. Note that the activity of these businesses was reported as discontinued operations, while the assets and liabilities of these businesses were reported as held for sale this quarter. Turning to slide 5, for an update on cash flow. During the quarter, we generated $122 million from cash flow from operations and free cash flow of $115 million. 2024 third quarter cash flow from operations declined from the prior year as a result of working capital needs. Turning to slide 6 for an update on our liquidity and capital structure. During the third quarter, our cash and liquidity remained strong. We ended the quarter with $456 million in global cash and total available cash and liquidity of roughly $1.024 billion. During the quarter our cash balance increased by $110 million. We did not draw on our ABL revolver during the third quarter, and therefore ended the quarter with no outstanding balance. It should be noted that we expect to lose approximately $140 million of our ABL availability with the OWN DAS transaction. During the quarter, we paid the required $8 million of term loan amortization. We purchased no debt on the open market. Going forward, we intend to continue to use cash opportunistically to buy back securities across the breadth of our capital structure. The company ended the quarter with net leverage ratio of 9.1 down from the prior quarter of 9.7. The calculation of the net leverage includes the OWN and DAS businesses. I'm now turning to slide 7, where I'll conclude my prepared remarks with some commentary around our expectations for the remainder of 2024 and 2025. In our core business during the first three quarters of 2024 we have seen strong recovery in our CCS business, driven by data center GenAI growth and inventory normalization. We expect that this trend will continue. Unfortunately, the core NICS and ANS segments continue to lag as the demand environment remains uncertain. We would expect fourth quarter core revenue and adjusted EBITDA to be generally in-line with third quarter results, as we experienced normal seasonality and most of our businesses offset by some continued improvement in market conditions. Based on current visibility, our full year core adjusted EBITDA guide post is expected to be between $700 million to $750 million with breakeven free cash flow. Based on the market uncertainty, we are not providing guideposts for 2025 at this time. However, we would expect to see strong improvement off of our full year 2024 performance as markets continue to improve and customer inventory gets back to normalized levels. We continue to control what we can control, including managing costs and supporting our customers. Our core adjusted EBITDA as a percentage of revenue improved from 16.7% in the third quarter of 2023 to 20.4% in the third quarter of 2024. This is a testament to our priority to control what we can and improve longer term profitability. Finally, I would like to make a few comments about our capital structure. We continue to evaluate several alternatives to address our upcoming debt maturities and deleverage our balance sheet. We believe that the strengthening of our financial results over the course of the year, as well as the impending receipt of the cash proceeds from the OWN and DAS sale have greatly improved our position with creditors. During the third quarter, we commenced discussions with certain creditors in an effort to identify a course of action with respect to our debt capital structure that would best position the company going forward. While we announced this morning that negotiations with one adhoc group of our creditors have ceased. We remain in active and constructive discussions with other creditors that are not part of that group. For today's call, we will not be making further comment with respect to our capital structure. However, we will provide updates as appropriate. And with that, I'd like to give the floor back to Chuck for some closing remarks.
Chuck Treadway : Thank you, Kyle, while we are generally pleased with our third quarter results, specifically with sequential improvement versus second quarter, uncertainty continues to remain in our core businesses, although we expect growth as we move into 2025 we remain hesitant on guiding to the magnitude of the improvement. I'm encouraged by our focus on items in our control, including market share, new product introductions and profitability. This focus positions us well for medium and long term growth. I'm confident that we will capitalize on opportunities as markets improve evidenced by our strong EBITDA margins delivered over the last two quarters. And with that, we'll now open the line for questions.
Operator: [Operator Instructions]. Our first question comes in the line of Meta Marshall with Morgan Stanley.
Meta Marshall: Thanks. Maybe a question on the capacity expansion that you're doing for kind of the data center opportunity, just you know is that, do you think that there is an ability to gain share in that market? Is that to take advantage of more data center interconnect opportunities, just kind of expanding upon where that expansion is and where you think share gains are possible. Thanks.
Chuck Treadway: Sure. Thank you, Meta, that investment gets us about another $300 million of revenue, and as we talk to customers, we're really bullish on the demand over the next several years. We're hearing, you know this growth is 20% to 25% range, year over year, continuing going forward. And we're one of the major players in this space, and it's a key growth area for CommScope that we're investing in, and we're not really seeing anything that would indicate a change in this demand trajectory.
Meta Marshall: Got it and then just on some of the opportunities on kind of, some of the data center interconnect, I think you guys have not traditionally had products in that market, but are there plans to kind of introduce products within that market?
Chuck Treadway: No, we're specifically operating more inside the data centers.
Operator: Our next question comes in the line of Simon Leopold with Raymond James.
Simon Leopold: Thanks for taking the question. I'm a little bit confused around what you're describing happening within the ANS segment. I guess if I got my notes down, you talked about meaningful shipments of FDX into Comcast but then I thought you said small shipments of FDX amplifiers will begin in the fourth quarter, with substantial increases in 2025. I wasn't sure sort of where we stand on the FDX roll out and then also, further on, kind of the amplifiers are there operators awaiting unified amplifiers supporting both FDX and EFD, and if so, what do you see as the timing for volume shipments of the Unified versions? Thank you.
Chuck Treadway: Yep, I'll start with the ANS related to the FDX nodes and amplifiers. So we're starting to ship more. We're starting to ship more nodes, FDX nodes, in the fourth quarter, and amplifiers are going to as well start. It's just going to be a slower amount in the fourth quarter, but we're going to see a significant ramp up of the FDX amplifiers, starting in 2025. At the beginning of the year, we have orders for that already, and they're expecting to receive those. Related for unified is anybody waiting on that we don't believe so. We haven't seen it in our conversations with customers. Unified is one of many options, and we'll have that available when customers need it but right now we're not seeing that slow down anything.
Simon Leopold: Appreciate that. And then just a quick metric please. Last quarter, you told us that 15% of CCS revenue was coming from data center connectivity. Could we get an update on that metric?
Kyle Lorentzen: Yes, it generally hasn't changed. I mean, some of it goes through distribution, so it's not always a perfect number, but we continue to say that it's 15% to 20% of the CCS revenue comes from the data center market.
Operator: Our next question comes to the line of Amit Daryanani with Evercore.
Amit Daryanani: You folks are like having 3% revenue growth year over year on the core basis this quarter, and then EBITDA dollars are up like 25% so just wondering, can you just talk about how much of the EBITDA dollar or margin expansion you think is from sales leverage, especially in CCS, versus some of the benefits from CommScope next? And then, if you just maybe help us understand what's left of CommScope next from a savings perspective, as you think about the next couple of quarters would be really helpful.
Kyle Lorentzen: Okay, I'll take that one. So I think as we think about the CCS, EBITDA margins in particular I think it's a combination of you know, we're definitely getting some favorable mix, as we grow the business and products that have a little bit higher margin that I think that there is cost that we've taken out of the business. And then I think there's also just the component of, we get cost leverage as the business grows, and I don't want to put a number on that, but I think each of, each one of those is contributing a fair amount to the EBITDA margins that we're seeing in CCS. I think as we step back and think about CommScope next our GM model that was implemented a couple of years ago, clearly identified over the last 18 months, opportunities for us to continue to take cost out. And I think the teams have done a nice job on doing that, and I think that's reflective in the EBITDA margins that we're posting now. I think when we think about moving forward with CommScope Next, and particularly on the cost side that is a continuous improvement program so I think we feel like there's more cost to come out, probably not as much as what we've seen already. But I do think that there's some opportunity for us as we think about continually improve the business, to continue to manage costs out of the business.
Amit Daryanani: Got it. Thank you for that. And then if I just go back to the CCS segment, where you folks have talked about adding a little bit more capacity, I think how you say you're adding about capacity, that would be equated to 300 million of incremental sales. Maybe just clarify if I got that correct and then, could you just also touch on how much CapEx dollars do you need incrementally drive that? I'm just trying to think about what CapEx incrementally would be sounds like in the December quarter to drive this capacity increase? Thank you.
Chuck Treadway: Yeah, I think at a high level we're talking about the latest capacity investment. We're talking about spending $10 million to $20 million to do that. So I think the best way to think about the CapEx, without giving you the specific numbers is each one of these capital investments that we make in the data center market to expand capacity those are very, very accretive. I mean, the paybacks on those things are our months and quarters, not years. So as we invest that capacity we'd expect to get very strong payback on that on that investment.
Operator: Our next question comes with line of Samik Chatterjee with JPMorgan.
Samik Chatterjee: Thanks for taking the questions, and maybe I'll stick to the first one on CCS as well, you had 17% revenue growth year over year in the quarter itself. Maybe if you can sort of give us a bit more details in terms of between, sort of carriers versus data center customers, what are you seeing in terms of growth rates? How much of a divergence should we think there is in terms of the revenue growth rate between the two. And when you talk about the 800 million of capacity you're adding, how are you thinking about the sort of when you're fully filled out? How does that allocation look between data center versus carriers? And have a follow up. Thank you.
Kyle Lorentzen: Yes. So I you know, we're not, we're not going to provide all the detailed numbers within the CCS business, but you know, what I would say on year to year growth is, I think, as we said in our prepared remarks a lot of the growth that we're seeing, that 17% in CCS, is coming from data centers. On the broadband side of the business, we've seen the market stabilize a little with inventory, and we're starting to see sequential growth. But we haven't yet, on a year over year basis, seen a lot of growth in the broadband business yet. And then on the other part of our business. You know, outside of the data center business we do have an enterprise copper business and that business has been up year over year as inventories have normalized in the channel in that business as well. So I think the way to think about it is, we have very strong growth year over year in the data center business, we've got some growth in the copper business and the broadband business continues to be relatively flat in CCS.
Chuck Treadway: I just want to make sure you heard the number right, that the investment we did in data centers $300 million more revenue, not 800.
Samik Chatterjee: Okay, sorry, thanks for correcting that. But any thoughts on sort of how that 300 million looks between the carriers and data center customers when you fill it out,
Chuck Treadway: It's data center investment.
Samik Chatterjee: Okay, got it. And then for my follow up, and maybe Kyle, this is more for you. For the core EBITDA you're talking about strong growth in 2025 but there seems to be also a part of the press release where you focus on the stranded costs, or the corporate costs allocated to OWN, that will get moved to the segments. How much of a headwind on a year over year basis, would that be to the core numbers, if I'm understanding the implication.
Kyle Lorentzen: We're still working through that. But, I mean, I think for modeling purposes, it's probably a plus or minus $20 million stranded cost number on a year over year basis, on an annual basis as well.
Operator: Our next question comes in line of Steven Fox with Fox Advisors.
Steven Fox: Had a couple questions. First off, I was wondering if you could help reset us on EBITDA margins a little bit. Just looking at the sequential trends on the core business, the planned divestures it's kind of all over the map, or in the case of CCS at very high levels versus historicals. Can you give us a sense for where you are versus potential? Sort of either normalized opportunity for expansion to help us, maybe right size the models. Thanks and then I have a follow up.
Kyle Lorentzen: Yeah, I'll sort of take it by business, I think on the CCS business we've seen a lot of growth there clearly. And I think we talked a little bit about some moderation in the fourth quarter. Some of that is more mix driven. I think as we move forward into '25 and beyond I think there's an ability for us to continue to improve EBITDA margins there, but I don't think we're going to see step function change like changes like we've seen from '23 to '24 so I think we will see more modest improvement there. I think both in the NICS and ANS business, just because the revenues are down we would expect to see pretty strong improvement as we move into '25 and the businesses recover and grow. I think we'd expect much stronger growth on EBITDA margins in those two businesses.
Steven Fox: But any sense on the NICS and ANS that you can give us on what like normal looks like for EBITDA margins?
Kyle Lorentzen: Yes. I mean, I think we can probably get back to where what we were seeing in '21 and '22 in those numbers.
Steven Fox: Great. And then on the backlog that you mentioned, I'm just trying to get a comfort level with the backlog, which I just forgot, the number the 800 plus million versus the cool sales of $1.82 billion. How do we how do we think about that as on a go forward basis? Why is that normal or reasonable given, [indiscernible] versus the sales in the quarter?
Chuck Treadway: Yes. I mean I think what we've said around backlog is as we've looked over the last couple years backlog, you know we had a lot of backlog in sort of the '21 and '22 periods, particularly in our CCS business and our NICS business. And I think as we talked about that will, a lot of that was driven by supply chain constraint issues and then, in some cases capacity issues, as those things have resolved. This business, historically, is a business that works off of sort of weeks of lead time. And I think when we go back and look at where the business was before all the supply chain constraints and the challenges that we had during that COVID period I think when we go back and look at the trending the backlog levels that we see now from a lead time perspective basis, I think we're sort of back to what you know, we would consider to be normalized. I mean, historically, these are not businesses that work off of massive backlogs and backlogs that get pushed further out. These are businesses that someone orders and we're shipping in a couple of weeks.
Operator: Our last question comes to the line of Tim Savageaux with Northland Capital Markets.
Tim Savageaux: I wanted to a question and a follow up first, in terms of what you're seeing on the carrier side, from a demand standpoint what we're hearing out of some of the big U.S. carriers, in particular, about fiber builds is pretty positive. And I think you made some comments about that stabilizing last quarter, but maybe less so this quarter. So if we can get an update on whether you might expect to see growth on the carrier side in CCS next year, and I'll just throw my follow up in there, which is any headwinds from what we saw coming out of charter in terms of the delays in their network upgrade, and that's it for me.
Chuck Treadway: Yep. Look, I would say our customers in the markets are projecting that homes passed and homes connected is going to grow over the next three years, and we're obviously going to benefit from that growth. And we sell fiber and connectivity into that market. And we continue to invest in technology to drive differentiation and that's where we talked about this prodigy connector technology that keeps put in the best place. And so we are seeing a pickup there but obviously, it's, a lot. We're not at the '22 levels, but we have seen improvement quarter over quarter in that space. Your second question was?
Tim Savageaux: About charter, kind of pushing out their upgrade timeline, reducing the CapEx and any impact there?
Chuck Treadway: Yes. We won't comment on specific customers, but we do have a position at charter, and specifically with the ANS segment, and we are seeing delays there.
Chuck Treadway: We'd like to thank you for your interest in CommScope, and we appreciate your time today. Have a great rest of your week.
Operator: Yes, thank you for your participation in today's conference. This does conclude the program, and you may now disconnect.